Operator: [Foreign Language] Good morning, and welcome to the Conference Call organized by Vidrala to present its First Half 2023 Results. Vidrala will be represented in this meeting by Raul Gomez, CFO; and Inigo Mendieta, Head of IR. The presentation will be held in English. In the Q&A session, questions will be also answered in Spanish. Nevertheless, it is strongly recommended to post questions in English in order to facilitate understanding of everyone. In the company website, www.vidrala.com, you will find available a presentation that will be used as a supporting material to cover this call as well as a link to access the webcast. Mr. Mendieta, you may now have the floor.
Inigo Mendieta: Good morning to everyone, and thank you for the time that you dedicate to attend this call. As announced, Vidrala has published this morning its 2023 first-half results. And additionally, we have also published the results presentation that will be used as supporting material to this conference call. Following this document, we will dedicate the first part of our exposition to briefly explain the figures released today to devote afterwards as much time as necessary to discuss on the business performance in the Q&A session. We invite you to access the webcast through the link available in our webpage. So starting with the main magnitudes, in the first-half of 2023, we achieved as most relevant business figures, revenues of almost EUR795 million and EBITDA above EUR215 million and a net income equivalent to an EPS of EUR 4.19. Net debt at the end of the year stood at EUR284 million, which is equivalent to a leverage ratio of 0.8 times the last 12-months' EBITDA. Turning to slide four. We look at the top line performance, analyzing the annual variation of revenue broken down by concepts to arrive at the reported figure of EUR794.8 million. That is a result of 23.9% growth on constant currency basis. The Park contributed plus 2% to sales growth. Volumes were down minus 5% in the first-half, while price/mix effect was up 27%. Following the order of key business figures referred to at the beginning, we analyze with the same breakdown the variation of operating income. 2023 first-half EBITDA amounted to EUR215.2 million, reflecting a constant currency growth of 94%. These operating figures resulted in an operating margin, EBITDA over sales of 27.1%, which represents an expansion of almost 10 percentage points, compared to 17.2% registered in the previous year, as a consequence of already mentioned unprecedented inflationary pressures. If we come back to an analysis of last performance data to try to mitigate non-representative quarterly discussions and deduct business trends, we can appreciate how we are gradually recovering more normalized profitability levels towards historical average, well above 20% over sales. Let's analyze now the free cash flow generation in detail. We will do so with the help of the chart on slide seven -- eight, sorry, which reconstructs the cash conversion accumulated for the last 12-months in order to fully normalize our annual cash profile. So starting from an EBITDA margin of 25.1%, we have dedicated 8.8% of sales to investments. And unusually, the aggregate of working capital, financials and taxes represented a big cash outflow in this case of 11.9% of sales. More important, we returned to positive last 12-months free cash flow generation, despite exceptional working capital movements that were already anticipated and should moderate during the second-half of the year. And finally, net debt at the end of the reported period closed at EUR283.8 million. This figure is a consequence of the just mentioned cash generation, our commitment to shareholder remuneration and the cash out for the acquisition of The Park and the noncontrolling minority stake in the share capital of Vidroporto. As a result, leverage ratio stands at 0.8 times EBITDA. And now before turning to the Q&A session, I pass the word to Raul, so that he can extract main conclusions or highlights and make additional comments that he considers appropriate.
Raul Gomez: Good morning, everyone. Thank you, Inigo, and thank you all for attending this conference call today. You know we really appreciate your time. Well, we are today announcing results for the first six months of the year that are broadly aligned with our guidance, that meet our targets and that are a good proof of the progresses we are seeing in our business strategy. I will say, we basically are today where we plan to be. And all this is becoming real in our numbers despite the many extraordinary external factors that we have faced or that had affected the business over the last years. Having said that, I would invite you to take a look back with perspective to better appreciate the resilience of our business profile. Talking about today's business context. Despite demand conditions are softer than initially expected, the underlying fundamentals of glass as sustainable packaging material of choice remain intact. And demand levels are quite solid from a historical two or three years perspective. More than this, or about this, thanks to internal reasons, thanks to internal actions, even after the short-term visibility in our sales volumes are today somewhat lower than usual, we remain confident with our guidance, a guidance that we reiterate today. That means that we keep on seeing full-year sales increased by double-digit. We do maintain our confidence that margins will be broadly consolidated at the current levels, guiding a margin of 25% EBITDA over sales for the full-year. We do still see annual profits quite above the reference or the level of EUR7 per share for the full-year. And finally, and probably more important, we still expect annual free cash flow to exceed an amount of EUR150 million for the full-year. That will be, obviously, mostly concentrated in the remainder of the year. And all these reiterated guidance is, under our opinion, a good proof of what we are today, the strong fundamentals of our business and the benefits we are seeing from our strategic actions. Vidrala is today stronger than in the past. And the way we serve our customers has improved significantly, giving us what we do consider a competitive advantage. Finally, before going to the Q&A session, let me end with some remarks, again, on our quite dynamic recent corporate activity. As you know, since end of January this year, our subsidiary in the U.K. Encirc owns the beverages filling facilities and the logistic infrastructure in Bristol, known as The Park. The business purchased under a quite rational strategy that is already fully integrated in our business, further improves the range of services we provide in the U.K., capturing demand, securing glass volumes, helping our existing customers to grow if they need, improving logistics, increasing flexibility, and minimizing carbon footprint. Finally, reinforcing Encirc's unparalleled fundamentals. Moreover, even more relevant for us from a strategic point of view, in February this year, we announced the acquisition of a minority stake in the Brazilian company, Vidroporto, a renowned, very well known for us competitive Brazilian player. This first step represent for us a very deliberate strategic progress, diversifying our business towards the growing Brazilian market, creating a driver for future growth in regions that will offer for us interesting opportunities and all this with an aim of reinforcing long-term partnerships with some of the main global customers, particularly in the beer segment. Thank you.
Inigo Mendieta: Okay, this completes our exposition. So we now give way to the Q&A session.
Operator: [Foreign Language] Ladies and gentlemen, the Q&A session starts now. Questions by telephone will be answered first. [Operator Instructions] Thank you. Question comes from Ignacio Romero from Sabadell. Please go ahead.
Ignacio Romero: Yes. Hello. Can you hear me?
Raul Gomez: Yes. We can hear you.
Ignacio Romero: That’s great. Okay, my question has to do with your guidance for the year. It does seem a little bit conservative to me, at least in terms of EPS, given that in the first-half, you already have made EUR4.2 per share. And for the full-year, you are guiding to above EUR7. Given that the second-half of the year is usually better than the first-half, I was wondering if you are being especially conscious this year? Or is there something that we might need to take into account to understand this guidance? Thank you.
Raul Gomez: Well, Ignacio, thank you very much. Well, we are really basically reiterating exactly with all specific details, the guidance we gave three months ago, the time of our first quarter results publication. So we deliberately didn't updated our guidance, okay. Following your comments since then, it's obviously that our demand drivers are somewhat weaker. And our margins are more or less where we plan to be. In terms of EPS, probably we do have some room for further improvement, okay? We understand your comment, and we accept this comment, okay? But what we are doing is basically reiterating exactly the same guidance just to give you a level of comfort. Nothing has changed from our full-year results perspective over the last three months that could affect your numbers.
Operator: The next question comes from Francisco Ruiz from BNP Paribas. Please go ahead, Francisco.
Francisco Ruiz: Thank you. So mainly you are reiterating that you will be able to maintain the current margins. The current margins are not 25%, in fact, 27%, okay? So could you tell us what will make you to have lower margins in the second-half, if energy is maintained at these levels and prices probably will move not so much, and probably would be some efficiencies or some synergies coming from the acquisition? The second question is on the inflation. I mean, despite the deflation that you are enjoying in energy, the OpEx -- well, other costs -- sorry, operating costs are growing 7% or 8% in this quarter versus quarter -- versus Q2 last year. So could you give us a breakdown of what is growing above that levels and how you see the second-half of the year, considering a similar gas prices like today? And last but not least is on the volume side. As the volume has -- you commented minus 5% in Q2 -- sorry, in H1, which means close to minus 8% in Q2. So could you give us the reason for such a big drop in volumes? And what are your estimates for the full-year? Thank you.
Raul Gomez: Thank you, Franco. Thank you very much. Well, first, on your point of margins. It's true that if we consider our guidance in margins for the full-year, that could mean a slightly lower margins in the second-half of the year. Please, first, consider this guidance as our prudent number that we provide in an effort to improve transparency and predictability. But the real number will depend on demand conditions, sales volumes, the temporary need to align capacity, if needed, and the progressive part of adaptation of our sales prices, should cost stabilize. But all-in-all, we do have things at the margin level under control. And under the different scenarios that we can today foresee, and we are analyzing many different scenarios, basically from a demand perspective. The impact on our margins in the second-half of the year and the impact on our profits will be minimal, okay? And this is probably something that provides us some confidence of how solid or competitive our industrial footprint is today and the contribution of our recent corporate actions that are making Vidrala a different player, okay? The volatility of margins that we will see from now, probably including 2024, will be much more under control, much lower than in the past, okay? We do feel confident on this, okay? And that is linked with your second question, inflation. Well, despite energy and raw materials costs have largely stabilized over the last few months, they still remain a significant headwind for us versus -- particularly versus two years ago. And we remain seeing inflation in many pieces across our cost base, okay? I mean, raw materials has started to stabilize. Energy is -- energy markets are under a process of relaxation, but we still see in these two pieces that accounts for more than 40% of our OpEx -- of our total OpEx inflation -- year-on-year inflation of more than [20%] (ph). Two years inflation -- or inflation over a two years' perspective of more than 40%. So if -- having said that, should external underlying cost factors further relax, really relaxed, and are consolidated at these levels, our prices will progressively and probably efficiently adapted with an effort focused on securing a positive or neutral price to cost gap. And as a result, maintaining our margins -- our margin safe, okay? But as I said before, inflation is under a process of relaxation, but they still remain as a headwind.
Inigo Mendieta: And on your third question, Franco, before Raul comments, just to provide some numbers and to clarify the figures. In the second quarter, standalone of 2023, we have seen volumes minus 6%, excluding the positive impact or the positive contribution of the pipe that is -- that would partially mitigate this decline, would be plus 2%. And for the first-half, as you mentioned, volumes are minus 5%, with also The Park partially mitigating that effect, plus 2%.
Raul Gomez: And looking at the future, at this level sales volumes has -- well, it's very evident that demand is today softer than initially expected. But we -- as I said before, we do see a limited impact on this in our numbers, at least in the short-term, okay? Let me remind you that our strategic targets, our strategic priorities were not based on top line growth, you probably remember that. Our strategic target has been broadly based on our deliberate capacity realizing plan, selectively divesting, and investing in a number of our facilities to improve the competitiveness of our industrial footprint. That means that our margins are much more based, and our profits are much more based on cost competitiveness than on top line growth. Having said that, we do feel comfortable. We do feel that we are well positioned to manage a weaker demand context. And that, in fact, has been previously accepted by us as possible. We are prepared for that and the confidence in our guidance is a good proof of this. Our sales volume variation is today negative due probably to a number of factors. First, the larger comparison is quite challenging. Let's take a little bit more historical perspective to better understand where we are in terms of underlying demand conditions. Second, our customers that secure higher glass inventories a year ago are today probably destocking glass. And finally, consumption levels are somewhat lower globally affected following macroeconomic factors. But -- and there are two, three year perspectives. As I said before, our demand is quite higher, quite solid following underlying strong fundamentals. And our production capacity -- nominal production capacity and our recent strategic actions are broadly aligned with our current sales levels, okay? So having said that, following the more limited short-term visibility in our sales volumes, while we prefer to avoid giving you an specific prediction at that particular point, our year-on-year change on sales volumes for the second-half won't be relevant, I will say. And I believe that won't surprise you significantly. Positively or negative, we still don't know, but the variation will be very limited. And evidence of this of how comfortable we feel with this is our reiterated guidance at the margin level or EPS or even free cash flow.
Francisco Ruiz: Okay. Thank you, Raul.
Operator: Thank you. The next question comes from Alberto Espelosin from JB Capital. Please go ahead.
Alberto Espelosin: Yes, good morning. Can you hear me.
Raul Gomez: Yes, we can hear you, Alberto.
Alberto Espelosin: So I have two follow-up questions. First on prices. Gas prices collapsed. And if I remember correctly, half of your sales are automatic price adjustment formulas. So are you already lowering prices to customers and are clients pressuring you on this front? Or does the plus 20% OpEx inflation compensate for this? And what do you expect -- how do you expect prices to develop to year-end? And my second question is, do you have any update on -- any details on Vidroporto? And do you think this acquisition can be closed in second-half 2023 or should we wait for next year? Thank you.
Inigo Mendieta: Okay, Alberto. Thank you very much. Just a very brief introduction on your first question in terms of pricing, okay? You have seen that the contribution of pricing in the second quarter of the year has been lower. This is still not due to relevant price level adaptation. This is mainly, first of all, because on a comparison basis. You remember that in the first quarter of 2022, we were increasing prices in the range of 10%. And in the second quarter, we already introduced the energy surcharge that meant prices in the range of 30%, okay? So that's why the annual variation, okay, has mathematically moderate in this second quarter. And this base effect will also affect the remainder of the year, okay?
Raul Gomez: Okay. Thank you, Alberto. Going inflation in many pieces across our cost structure. You mentioned that the natural gas are collapsing. Okay, unfortunately, for us in our experience natural gas are just progressively under a process of relaxation. But natural gas prices today, unluckily is still double the level we had a three years ago, and that needs to be reflected in our prices. And beyond the natural gas or the energy factor, we still do see a lot of inflation in many pieces, okay? It's true that inflation is giving us signs of relaxation. This is our top priority for us. I mean, our top priority is to intensify as much as possible the capture of the process that we are seeing of cost, I would say, the inflation. If this is finally consolidated in our numbers, we will be fair and transparent with our customers and progressively adapt our prices, with the focus and the priority on securing a positive or neutral price to cost spread and maintaining our margin safe. And we do feel confident with that, okay? Just to give you a reference. You probably remember that approximately one-third of our sales volumes are dictated by long-term supply agreements with price adjustment formulas. This is just a mathematical result. A mathematical result of a price adjustment formula following our cost structure calculated today is giving us a minimal negative price variation that completely secures this neutral to positive price to cost spreads and maintain our margin safe. So we don't feel particularly concerned about that the prices will be adapted progressively only if costs are definitively relaxed or under a process of moderation. Your final question is, the expected about Vidroporto, Brazil. Well, let me say that we know well Vidroporto. We know well what we are doing there since years ago. We have been providing Vidroporto a technical assistance for years. We have been involved in the process of -- the corporate process of this company since years. I will say that our destiny is to be partners. The assets of Vidroporto are the type of assets we like, very well invested. Vidroporto is expanding capacity in one of its two sites, and Vidroporto is today, by far, in our opinion, the most competitive player in Brazil. One of the most competitive players in the Latin America glass market, okay? And what we are seeing today as minority stakeholders is that all stakeholders around Vidroporto welcome us as potential future owners, from shareholders to management, staff, customers, governments. Probably they are giving us credit to our business integrity and our long-term industrial intentions. We are taking part of Vidroporto's management as a minority shareholder, giving them -- offering them the -- our industrial expertise. I think that Vidroporto needs us industrially and financially. And actually, the majority shareholder that represents the founder family and all the great industrial legacy created by them, has formally expressed its desire to sell to us, and we do have an agreement with them, okay? So we transparently want to take full control of Vidroporto, but we feel comfortable with where we are today as minority shareholders. And we won't accelerate events and the times or events that we can't control. So this will take the time needed. Let's be patient, okay? It shouldn't be out of time, okay? And let's remind us that even with a minority stake, we are creating value for Vidrala. And let me please invite you to consider that this is only probably the beginning of the platform we are creating for future growth, okay? This months of wait are the wait we need, and will be probably soon forgotten in our history -- in our strategic history.
Operator: Thank you. [Operator Instructions] The next question comes from Ignacio Lorente (sic) [Manuel Lorente] from Mirabaud. Please go ahead.
Manuel Lorente: Hi, good morning. Can you hear me?
Inigo Mendieta: Yes, we can hear you, Manuel.
Manuel Lorente: So my first question probably is on regional trends. I was wondering whether, Raul comment regarding softening demand is a specific to any specific region or it's something that just across the board. Because looks like U.K. is a little bit weaker than other regions. And given the exposure of U.K. to wine, whether that might be an issue of the performance in terms of demand? Do you see any difference between regions or between trends on last year?
Raul Gomez: Well, thank you very much, [Ignacio] (ph). Well, I will say that demand is softer than initially expected globally everywhere in our regions of activity. And I just think that our numbers are more or less aligned or even are even better than the numbers that some of our competitors are announcing. So it seems that this is an evidence that, okay, these softer demand conditions are more or less a global factor, okay? The differences that we are seeing by regions are probably more due to seasonal, structural differences. You know that the first-half of the year is less transitional as to growth point of view is less relevant in the U.K. market than in Continental Europe. And this is the only reason for this difference, in my opinion. Primarily in the future, we should take into consideration that for specific internal reasons, our volumes in the U.K. will perform progressively better than in the rest of our regions, because we will progressively capture more of the glass volumes that are coming from the acquisition of the filling facilities of The Park in Bristol. The rest probably will be more exposed to underlying demand conditions. The comparison basis, as we said before is -- the last year comparison base is quite different second-half with the first-half. Something that gives us some confidence to reiterate that we say before that whatever is our sales volumes variation second-half, year-on-year will be the difference positively -- positive or negative will be minimal.
Manuel Lorente: Okay. And my second question is on working capital trends. There has been EUR57 million inflow in the order line. Can you give us some detail of what is that?
Inigo Mendieta: Can you repeat the question, Manuel, sorry?
Manuel Lorente: Yes, there has been an inflow of EUR57 million in your working capital in the orders line. I was wondering...
Inigo Mendieta: In terms of working capital, I understand, Manuel, you're speaking about the numbers for the first-half of the year, okay? We still see working capital representing an outflow. Okay, an outflow of slightly more than EUR100 million. The movements in terms of working capital are mainly related to the effect of price increases and the effect of inventories that are progressively increasing, okay? And what we expect for the full-year is to -- this effect to normalize across the year. Should be possibly a small cash outflow, but more in the range of flat to minus EUR 20 million and the levels that we have seen for the last couple of 18, 24 months, okay? If you want to check that specific figure, we can talk after the call, because I don't know what figure are you referring to. But again, we can clarify this after the call with any part.
Raul Gomez: Let me just add, please keep in mind that we are reiterating our guidance of free cash flow for the full-year, EUR150 million. That means that most of these annual free cash flow will be concentrated in the second-half of the year. We do feel confident with that. So that means that the working capital won't be a significant cash outflow for the second-half of the year. We really feel confident with this number.
Inigo Mendieta: And this implies, Manuel, that working capital trends should revert in the second-half of the year.
Operator: Thank you. The next question comes from Inigo Egusquiza. Please go ahead.
Inigo Egusquiza: Hi good morning, Raul, and Inigo. Do you hear me?
Inigo Mendieta: Yes. Good morning, Inigo.
Inigo Egusquiza: Raul, on volumes weakness, I don't know if you can give us some color by countries and segments. I'm sure you answered to the question, but sorry for asking you the same question again. This is the first question. And the second question, I don't remember -- yes, okay. On pricing for 2024, I assume that negotiation will come after the summer, but I don't know what can we expect, considering the cost deflation. What are your guess estimate for pricing in 2024, considering the information that you have today? Thank you.
Raul Gomez: Okay. Well, in terms of demand conditions are stable -- is -- what is very real that sales volume variation is today negative. We say, therefore, that is probably due to a number of factors. Last year comparison is quite challenging. Customers are probably destocking and consumption levels are somewhat lower, probably following macroeconomic factors. But if we consider these three factors, the second-half comparison base will be much softer, less challenging. So that gives us some confidence that what we said before is that our year-on-year sales volume variation for the second-half will be less relevant. I don't know if it will be positive or negative, but won't be particularly significant. And as a good proof of this -- as a good evidence of this, won't affect significantly our margins or sales and a guidance that we are reiterating today, okay? These software demand conditions that we are seeing is probably a global factor. This is just what we are seeing from a regional perspective in our different regions of activity. There is no particular differences. And probably that is -- this is something that is more or less consistent with what some of our competitors are saying, okay, in the specific glass space or in other packaging spaces, okay? Looking at the future, looking at the next half or the next year, even. We do feel that we are particularly well positioned to face a potentially weaker demand context as long as we are still capturing demand from the acquisition of The Park in the U.K. Something that is not dependent on a structural or underlying demand conditions. And second, please keep in mind always that our steady -- long-term steady guidance were not based on top line growth, were based on cost competitiveness and capacity realignment. So our margins are to be -- this year and next year are to be based more on cost competitiveness than top line volumes growth. We do feel confident with the situation we are today.
Inigo Egusquiza: Okay, thank you.
Raul Gomez: And, yes, second point, Inigo, in terms of prices, what we are seeing? That we still see inflation in many factors of our cost structure. There is a reason to maintain our prices -- we -- our prices will be fairly and transparently progressively adapted, should our cost are consolidated at lower levels. With the focus, the priority of securing a positive or neutral price cost gap and maintaining our margin safety. If we try to foresee our prices in the second-half, particularly in next year, following the amount or the percentage of our sales volumes that are dictated by price adjustment formulas, and trying to predict what could happen with the rest of our volumes or customers that are dictated by the bilateral or direct negotiations. We see our prices progressively adapted downwards. This is unavoidable. But that will follow real cost relaxation path, and that won't affect our margins in 2023 or probably in 2024, I would say.
Inigo Egusquiza: Okay, thank you, Raul. Just a follow-up, sorry. Any update on Vidroporto situation in terms of calendar for the acquisition of the remaining stake in the Brazilian company?
Raul Gomez: Thank you, Inigo. Well, there is nothing new or nothing official, Inigo, okay? We do have an agreement to acquire the remaining stake in Vidroporto. We are -- with the case of Vidroporto that we are actively, acting providing technical, industrial assistance to Vidroporto. We are happy with our position as minority shareholders. We are creating value. We do have an agreement to acquire their remainder stake. But that won't be materialized deliberately till some legal limitations that block the sale of this majority stake owned by a family vehicle are solved, okay? We don't control the events. We don't control timing. It shouldn't take much time from this, okay.
Operator: Thank you. The next question comes from Daniel Suarez from CaixaBank. Please go ahead.
Daniel Suarez: Hi, Raul. Can you hear me. Well, Inigo?
Inigo Mendieta: Yes, we can hear you, [Jose Antonio] (ph).
Daniel Suarez: You said -- I think, Inigo, you were explaining, can you explain again for this quarter, the breakdown between prices, volumes and how The Park has been provided. And also as well, worth mentioning the evolution of price expectation in second-half and 2024? And, also, regarding margins we should expect for 2024 if prices fall. Should we expect a fall in the margins or should the priority for the company will be maintaining the margins and prices will after that. Probably you have answered the questions, but my line has [Technical Difficulty]. And so if you could clarify on that.
Inigo Mendieta: No problem, Jose Antonio. Thank you for your questions. Just clarifying, volume and price performance in the second quarter and in the first-half, okay? Volumes in the second quarter were down minus 6%, The Park contributed 2% positive, and prices were in the range of 17%. I think the rest is currency effect. And for the first-half, these numbers are minus 5% in terms of volumes, again, plus 2% in terms of perimeter contribution of The Park, and prices in the range of 27%, okay? The rest, again, currency effect.
Raul Gomez: Thank you. And Jose Antonio, regarding prices and margins for 2024. Well, as you can understand, it's probably too soon to have needed visibility. In terms of prices, the moment of renegotiation will start after the summer. But we do have our reference and this references the amount of our sales volumes that are dictated by long-term supply agreements and price adjustment formulas. And the result of a price -- typical price adjustment formula calculated today for 2024 is giving us confidence of capturing a positive price to cost spread in 2024. Please let me highlight that due to our deliberate energy hedging policy, we are capturing most of the energy market relaxation that we are seeing so far. That means that our margins -- we do consider our margin safe in 2024, okay? It will probably more -- now the focus will be more -- for to put on future organic demand conditions in 2024 and beyond. And let me finalize the big point that, hopefully, the business in 2024 at a group perspective is different than what it is today, following our pending corporate actions.
Daniel Suarez: Perfect. Thank you, Inigo. Thank you, Raul.
Operator: Thank you. The next question comes from [Luis] (ph). Please go ahead.
Unidentified Analyst: Hello? Can you hear me?
Inigo Mendieta: Yes. Good morning, Luis.
Unidentified Analyst: Okay, good morning. A final question from my side. It's regarding the evolution of The Park in terms of results. I mean, we know that, I mean, volumes has not been strong and that you predict an improvement in the second-half, and you expect also to extract more synergies. But do you still believe -- I mean, six months into the acquisition, if you could provide an overview of -- and confirm if there's been an issue with profitability that you can expect and you're still targeting EBITDA margins about 20%?
Raul Gomez: Thank you, Luis. Well, there is a big strategic rationale for us in the acquisition of The Park. This is by far the largest wine bottling facility in operation in the British market. That means that we are buying a customer, we are capturing demand in a moment where demand is softer than initially expected. So the timing is particularly efficient for us. And that gives us a comfort of our demand conditions in the U.K. in 2024 and beyond, okay? So the profitability of The Park is not only the profitability that we are obtaining The Park from an individual or a standalone point of view. Filling wine is also a matter of the profitability that we are to obtain, supplying glass to our filling facilities in The Park in Bristol, okay. So all-in-all, we do feel confident with the acquisition we made. That means that even our business plans are -- the results of our business plans are exceeding our previous expectations, okay? Luckily or unluckily, that won't be material for our profits on a group perspective. But that will be quite relevant for our business at an individual perspective or for our British business or foreign share, particularly, okay. If you ask us of further details, let's say that in the future, we expect to obtain, including glass volumes, EBITDA of more than EUR15 million. EBITDA after lease in The Park after an acquisition that had a value of EUR35 million, as you probably remember. So just to give you a reference that we are making profits, okay?
Unidentified Analyst: Okay, thank you very much both of you.
Operator: Thank you. Ladies and gentlemen, there are no further questions. Dear speakers, back to you.
Inigo Mendieta: Okay. We were taking a look also at questions through the webcast. We received several questions from one person, and I think that all the questions have been answered throughout the call, okay? If there is something still missing, please do not hesitate to contact us after this call. So just to finalize, thank you, all of you for the time that you have dedicated to us. Just remind you that, we remain at your complete disposal for further questions. And also remind you that there will be the recording of this webcast will be available on our website in a couple of minutes, hours, okay? So thank you very much, [Indiscernible].
Raul Gomez: Thank you very much. We all know that we do probably have busy days ahead. Have a good summer after this, and please keep on eating and drinking on glass. Good for you. Thank you.
Operator: [Foreign Language] Ladies and gentlemen, thank you all for your participation. You may now disconnect your lines.